Operator: Good morning. My name is Chanel, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q1 2012 Minerals Technologies Inc. Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. Rick Honey, Vice President of Investor Relations, Corporate Communications. Please go ahead, sir. 
Rick Honey: Good morning. Welcome to our First Quarter 2012 Earnings Conference Call, which is taking place right after the space shuttle made it's lap around Manhattan. The call is being broadcast on the company's website, www.mineralstech.com. We'll start with Joe Muscari, Chairman and Chief Executive Officer, who will begin today's call by providing some perspective on our first quarter performance. He will be followed by Doug Dietrich, Senior Vice President and Chief Financial Officer, who will review our first quarter financial results. 
 Before we begin, I need to remind you that on Page 8 of our 2011 10-K, we list the various factors and conditions that may affect future results. Statements related to future performance by members of our management are subject to these cautionary remarks and conditions. 
 Now I'll turn the call over to Joe Muscari. Joe? 
Joseph Muscari: Thanks, Rick. Good morning, everyone. We started the year on a very positive note by earning $1.01 per share in the first quarter versus $0.87 a share a year ago, a 16% improvement and a record first quarter for Minerals Technologies. This solid performance, which included a 10% increase in operating income margin was largely driven by the strong results from the Performance Minerals and Refractories business units.
 Our results for the last 2 quarters now put us on an excellent performance track that is being driven by improved performance in almost every part of the company. We continued to see progress in our major growth strategy of developing and commercializing new products as our fulfilled platform of technologies of higher filler loading gained further momentum. We signed an agreement for our Fulfill E-325 technology, our first in North America. In addition, we announced new product offerings from both the Refractories and Performance Minerals business units.
 The solid performance from Refractories and Performance Minerals was a result of strengthened operations, bolstered by improved productivity through our operational excellence initiative, as well as product differentiation, pricing and good expense control. In addition, our cash flow remained strong as we generated $25 million in the quarter. But one area that remains a concern to us is the economic situation in Europe. We've closed one satellite PCC plant in Finland and production has been reduced at a second satellite in that country. And a satellite in France remains idle at a paper mill that is being divested by Mesta Board Corporation. We're also concerned about the effect the economic conditions in Europe are having on the steel industry there.
 As you can see from this chart, our earnings are back on a pre-recession performance track, albeit on lower volume levels, recording over $1 per share in the last 2 quarters. We continue to focus on working capital efficiency and making smart investment decisions. Our return on capital, as you can see from this chart, continues to improve at 8.7%, we're above our cost of capital and 12% above the first quarter of 2011, where our ROC was 7.8%. 
 Let's take a look at the progress of our organic growth initiatives. As I mentioned, we've obtained a commercial agreement with a papermaker for adoption of our Fulfill E-325 high filling technologies. Flambeau River Papers has adopted the technology at its paper mill in Park Falls, Wisconsin, bringing the number of E-325 agreements to 6. Our effort to expand geographically with our satellite PCC business model continues, as we are in discussions with paper makers in Asia and Brazil with the construction of new satellite plants.
 We also have 2 satellite plants under construction in India where we will have 5 facilities by year-end. And we have another under construction in Thailand, which brings the number there to 3. All of our business units are on a strong innovation track. Our Performance Minerals group, which consists of the Processed Minerals and Specialty PCC units, launched 3 Specialty PCC [audio gap] dioxide replacement in paints and coatings. And our Refractories business has engineered and installed the first fully automated Scantrol laser refractory measuring and application system for basic oxygen steel-making furnaces at NTMK in Russia. NTMK is one of the largest fully integrated Russian steel production facilities. 
 This chart, which we've shown in the past few quarters, illustrates the significant progress we've made in commercializing our Fulfill technology. Of the 24 paper mills that are currently actively engaged, 21 are evaluating E-325 and 3 are working with Fulfill V-426, which is, as you know, a Nalco owned technology we market and distribute. As you can see, looking from left to right, we have 4 paper mill customers where we are introducing the value proposition, 2 that have agreed to trial the technology and 12 where the equipment is in place, and we are in the process of validating the technology. 
 The driving force for the adoption by the papermaker is fundamentally cost savings. The papermaker reduces costs by replacing expensive pulp with PCC and these savings can range from $1 million to $5 million per site, depending on the size of the mill. I should also highlight that we have 3 sites where we expect to have commercial agreements shortly. By the way, these would be first for the European region, which is significant. 
 It's important to note that each of these sites is really quite different using different pulp sources, consequently, the timeline toward commercialization for each paper mill ranges widely. We've stated that our Fulfill E series would generate $75 million in additional annual revenue over a 5-year time frame. Commercialization is gaining good momentum, and we anticipate announcing additional commercial agreements in the coming months. 
 Both our Performance Minerals and Refractories business units, as I mentioned earlier, have shown remarkable improvements, becoming major contributors to our current levels of profitability. Our Performance Minerals unit recorded strong growth and profitability that resulted in a record first quarter for this business. Sales increased 4% through market expansion and pricing adjustments. Operating income increased 26% over the first quarter of 2011 and its return on capital is over 13%, an increase of about 25% from 2011. In addition, Performance Minerals is a leader in our operational excellence initiative, posting a 6% increase in productivity in the first quarter. And this team also has registered the best safety performance in the company. 
 On the Refractory side, we've seen a 36% improvement in operating income year-over-year, primarily as a result of a stable steel industry in North America, pricing improvements, lower raw material costs and increased metallurgical wire and equipment sales. In addition, this business unit also has improved productivity by 9% in the first quarter through our lean initiative. 
 As I have in past calls, I would just like to take a moment to emphasize that these 4 key initiatives that you see on the slide are the pillars supporting our improved financial performance and to creating a more valuable company. And they are the primary reasons behind the cultural transformation that is taking place at Minerals Technologies in the last 4 to 5 years. We are now seeing the fruits of our efforts to revitalize our new product development process with the commercialization of new products and technologies. In addition to the new products, we've -- that we announced and those in the pipeline, we're also working on new approaches to production processes that are targeted to improve operations worldwide. Innovation is an integral part of our culture and a key aspect of our growth strategy going forward. 
 As I pointed out with the reference to Performance Minerals, our operational excellence, lean initiatives is embedded throughout the company and is integral to improving efficiencies and continuously eliminating waste in all parts of the company. We'll continue to keep tight control of our expenses through good value spend decisions, which allows us to be more profitable and will provide additional leverages revenues increase. Regarding safety, we've made dramatic improvements in the last 5 years. We're now operating at safety performance levels that are the best in the company's history, and we remain committed to continuously improving. 
 We also continue to aggressively seek M&A opportunities. As I said in the past, we are looking for Performance Minerals-based companies in less cyclical end markets that have technological capabilities we can build upon. We have a dedicated team that is vigorously pursuing a number of potential opportunities aimed at creating longer-term value for our shareholders. 
 Now I'll turn it over to Doug, who'll provide detail on the financial results for the first quarter. Doug? 
Douglas Dietrich: Thanks, Joe. Good morning, everyone. I'd like to review with you our consolidated and business segment results for the first quarter. I'll highlight the key market and operational elements of our financial results in each major product line and comment on comparisons to both the first quarter of 2011 and sequentially to the fourth quarter of 2011. 
 As Joe mentioned, we reported record first quarter earnings per share of $1.01. It represents a 16% increase from the $0.87 per share recorded in the first quarter of 2011. Strong performances from our Refractory and Performance Minerals businesses were the primary drivers of the growth over last year. Our consolidated sales of $257 million decreased 2% or about $5.4 million from the prior year. However, excluding foreign exchange, the permanent and temporary mill shutdowns in Finland and France and the deconsolidation of our Minteq Korea business last year, our underlying sales grew 3%. 
 Our cost of sales decreased 4%, which had a favorable leveraging impact on sales resulting in a 4% increase in gross margin. Again, this occurred primarily in the Performance Minerals and Refractories business. Total expenses, including plant overhead costs, represented 14.8% of sales in the first quarter, below last year's ratio of 14.9%. This resulted in an operating income of $27 million, an increase of 8% over last year, and represented 10.5% of sales versus 9.5% in the first quarter of last year. 
 Our return on capital for the quarter was 8.7% on an annualized basis, which is above our weighted average cost of capital of 8.3% and higher than the 7.8% achieved in the first quarter of 2011. In the first quarter, we generated $25 million in cash from operations, of which $9 million was used for capital expenditures. We have nearly $35 million in cash on hand and continue with just under $100 million of debt. 
 Sequentially, our consolidated sales increased 2% in the fourth quarter, and our sequential operating income performance was above expectations, increasing 8% primarily due to the strong performances in the Refractories and Performance Minerals product line. Paper PCC also improved from fourth quarter levels, as expected, due to increased pricing associated with lime costs, which were contractually passed through to customers in the first quarter. In total, our performance resulted in the highest first quarter earnings per share in the company's history despite sales that were 10% to 15% below pre-recession levels. 
 The improvement in operating margin from 9.5% of sales in the first quarter of 2011 to 10.5% this quarter was attributable to the improved results in the Performance Minerals and Refractories businesses, which more than offset the margin decline in PCC. The decrease in Paper PCC was due primarily to lower volumes associated with the permanent and temporary paper mill shutdowns in Europe, as well as the general lower paper demand in that region. The improvement of Performance Minerals was due to higher pricing, improved volumes and lower costs from the favorable weather conditions in the northeast and continued productivity gains offset by higher energy costs. In refractories, lower raw material costs, higher metallurgical wire volumes and continued costs and expense control programs contributed to this increase. 
 Base volume growth in our business is primarily driven by the economic conditions in the uncoated woodfree paper, construction, automotive and steel markets. This chart shows the change in these markets over the prior year in our 2 main regions, North America and Europe. As you can see, uncoated woodfree paper production was down 3.3% in North America and 6.3% in Europe. As I mentioned in previous calls, Metsa Board Corporation announced plans last year to divest its Alizay paper mill in France. Although the paper mill is presently not operating, we believe discussions for the sale of mill continue. In addition, the Myllykoski paper facility and our associated satellite operation has been closed, and our production at the Aanekoski mill has been substantially reduced due to lower demand both by Metsa Board and UPM. The combined effect of these items reduced European PCC volumes by about 45,000 tons this quarter compared to last year. 
 For the full year, the uncoated woodfree paper production forecast for 2012 for North America is a decline of 3%; and in Europe, a decline of over 5%. The construction market in the U.S., as measured by residential fixed investment, was up nearly 11% in the first quarter versus the prior year. Automotive unit production in North America also continues to be strong, with production rates up 18% and steel production in North America has improved by almost 7%. Steel capacity utilization rates in the U.S. have increased to 78% in the first quarter from 74% last year. However, in Europe, our end markets reflect the current soft economic conditions there. Construction output was down over 7% versus the prior year, automotive production rates have declined almost 5%, and steel production has also declined almost 4%. 
 This slide illustrates the financial results within the Specialty Minerals segment. In total, sales in Specialty Minerals decreased 3% from the prior year. However, excluding foreign exchange and the permanent and temporary paper mill shutdowns in Europe, the segments underlying sales grew 4%. Paper PCC sales, excluding the shutdowns, grew 3%. The volume declines in Europe were partially offset by new volumes from the 3 satellite facilities that came online over the past year, one in Superior, Wisconsin and 2 in India. 
 As we indicated on the fourth quarter call, we expected that the volume declines in Europe would exceed the volume increases from our new satellites until they fully ramp up and until the other 3 satellites currently under construction, 2 in India and 1 in Thailand, come online later this year. 
 In other segment product lines, Specialty PCC sales were up 5%, talc sales increased 6% and GCC sales were up 2%. Segment operating income for the first quarter increased 1% over the prior year to $19.9 million due to a 26% increase in Performance Minerals' operating income, which more than offset the lower volumes in PCC. It's worth highlighting that Performance Minerals' operating income margins have increased 20% over the prior year. This improvement in Performance Minerals was due to higher prices, improved Specialty PCC and talc volumes and overhead cost reductions. In addition, each of the Performance Minerals facilities made gains in productivity over the last year. The decline in PCC was primarily due to the lower Paper PCC volume in Europe associated with the mill closures I mentioned earlier. 
 Overall, segment operating income represented 11.9% of sales in the first quarter compared to 11.4% in the prior year. Sequentially, first quarter segment sales increased 5%, operating income increased 23% and was higher than we had anticipated on our last call. Performance Minerals benefited from lower operating costs due to the unexpectedly mild winter weather and a favorable mix in the talc product line. Paper PCC profits increased in line with our expectations as we recovered the higher lime costs that were absorbed in the fourth quarter. 
 Looking forward, second quarter North America paper production is projected to be down about 3% compared to the first quarter, as a number of paper mills will perform their annual maintenance outages. If you recall, this occurred last year, as North America PCC volumes were down 7% in the second quarter versus the first quarter of 2011. European paper demand is also expected to be down sequentially, about 2% in the second quarter. Current indications are that the second quarter profits in our PCC product line will decrease by approximately 7% to 10% from first quarter levels.  In Performance Minerals, we expect profits to increase from first quarter as the second quarter is typically the strongest period for that business as construction activity ramps up. Overall, we expect the second quarter operating income for this segment to be similar to first quarter levels. 
 As I mentioned, Specialty Minerals operating income margin ratio increased from 11.4% of sales in 2011 to 11.9% in the first quarter of this year. As you can see from the chart, this segment overcame some significant factors and was able to improve profitability. Volume declines in Europe, associated with the closure of Myllykoski, paper machine curtailments at Aanekoski and the temporary closure of the Alizay paper mill impacted segment margins by over 2 percentage points. Paper PCC contractual price increases and lime recovery improved margins by about 1.5%. Energy costs continued to be higher relative to last year as the price of fuel oil, used in the Performance Minerals business, escalated over last year. Price increases in Specialty PCC and talc, productivity improvements and expense control have also contributed almost 2 percentage points of margin improvement. 
 This slide shows the financial results within the Refractories segment. In total, sales in the first quarter were flat with the prior year. However, excluding foreign exchange and the deconsolidation of our Korea Refractories business, which occurred in the third quarter of last year, underlying sales grew 3%. Refractory product sales were down 1% to $69.1 million, but increased 2% excluding Korea. In North America, refractory product sales increased 5% benefiting from the higher capacity utilization rates in the U.S. Europe refractory sales declined 7% as a result of steel mill shutdowns and general weakness in the European steel market. Metallurgical wire sales grew 4% to $20.3 million. North America wire sales grew 7% as a result of both market share gains and improved steel industry conditions. In Europe, wire sales declined 6%. Expense levels, including plant fixed costs, were 15.4% of sales as compared to 16.5% last year. 
 Operating income increased 36% in the first quarter to $9.1 million from $6.7 million in the prior year. The improvement was due to a number of factors including pricing improvements, lower raw material costs, higher productivity and reduced overhead expenses. Profit improvements were most notable in our Japan and Turkey operations. The segment operating income ratio improved significantly to 10.2% of sales compared to 7.5% in the prior year. Sequentially, refractory segment sales decreased 3%, and operating income decreased 13% from the fourth quarter. As expected, the decline in both sales and operating income was due to lower high-margin equipment sales. 
 Segment results were slightly better than forecast as steel production in the U.S. was stronger than we anticipated, growing almost 7% sequentially, resulting in higher refractory and metallurgical wire volumes. In addition, 2 steel furnace re-lines were postponed to the second quarter, which helped refractory volumes. 
 Looking forward, we expect that our second quarter operating income for the full segment to be similar to the first quarter. We remain concerned that steel production levels in Europe will continue to soften, and there are some indications that magnesium oxide prices have begun to rise. In addition, the 2 vessel re-lines that were moved to the second quarter were lower refractory product demand. 
 As I mentioned on the previous slide, the Refractory segment operating margin ratio increased significantly to 10.2% of sales this quarter from 7.5% in the first quarter of last year. As you can see from the chart, refractory and metallurgical wire volume declines in Europe, net of the increases we saw in North America, impacted operating margins by over 2 percentage points. This is fully offset by improved refractory and wire pricing and product mix over the first quarter of last year. 
 We began to realize the benefits of lower magnesium oxide costs in the quarter compared to last year. However, magnesium oxide prices are beginning to increase, which could have a dampening effect on these segments' margins going forward. In addition, this business has improved productivity levels and has continued with its cost and expense control programs. These items contributed almost 1 percentage point to the margin growth. 
 These charts illustrate our working capital, cash flow trends. As you can see, the total days of working capital increased slightly to 57 days, but were 3 days below the first quarter of 2011. Working capital management remained the key area of focus for the company, and we're constantly looking for ways to improve our efficiency further. Our cash flow from operations was approximately $25 million in the first quarter, as compared to $19 million in the first quarter of 2011, and our capital investment for the quarter was $9 million. 
 As I mentioned earlier, our earnings of $1.01 per share was a record first quarter performance for the company, and was above our expectations, primarily due to stronger-than-expected performance in the Refractories and Performance Minerals businesses. Looking to the second quarter, we expect the Specialty Minerals segment operating income to be similar to the first quarter. Profits in our PCC product line will decrease by approximately 7% to 10% from first quarter levels due to the annual maintenance outages in North America. 
 In Performance Minerals, we expect profits to increase from the first quarter as the second quarter is typically the strongest period for that business. In our Refractory segment, we expect that our second quarter operating income for the full segment will also be similar to the first quarter. We should continue to benefit from the higher capacity utilization rates in the U.S., however, we remain concerned that steel production levels in Europe will continue to soften. As I mentioned earlier, 2 vessel reliance in the U.S. were postponed to the second quarter, which were lower refractory demand. Overall, we expect total company profits for the second quarter to be similar to the first. 
 Let's go to questions. 
Operator: [Operator Instructions]  Your first question comes from the line of Silke Kueck with JPMorgan. 
Silke Kueck: My first question is on the refractory side. And so you did like a really nice job outlining how all the productivity improvements -- we know how the margin improvement came about even though the sales year-over-year were flat. And the -- I was wondering if you can discuss some of the productivity improvements that are still taking place because my recollection is, is that a lot was done from 2007, 2010 already to lower -- the break even levels. And so I was wondering like what the ongoing initiatives are, like how are you achieving those really nice margin improvements and productivity gains? 
Joseph Muscari: Well, Silke, this -- and what I'm about to say really applies to all of the businesses and all of the functions in the company. The continued improvements that we're seeing come about through the application of operational excellence principles. The -- today, we have standard work, daily management control, the things that you've heard me talk about over the past several years are -- have been reaching much higher levels of deployment throughout the company. There are very high levels of participation throughout the company by operators, by all employees in finding ways to save money, improve processes, improve quality over product, improve delivery. So a good part of what you're seeing is that continuous improvement efforts. And we -- and Kaizen is an event where employees come together for anywhere from 1 day to 3 days or 4 days and examine a process, and out of that, come out with ideas on how to improve it. Well, last year, we had roughly 700 Kaizens throughout the company, which is a fairly large number for a company this size. And this year, we're probably running -- the first quarter running at a rate that's probably 20% higher than that level. So it's a strong indicator of continued high level of employee engagement. We also -- another indicator that contributes to ongoing savings is our suggestion system. We are now averaging roughly 5 to 6 suggestions per employee around the world, which is a fairly high number when you consider that, we were at a very low level 3 years ago, something somewhere between 0.1 and 1. But it's another aspect of operational excellence that builds in a high level of employee involvement, I'd say employee engagement, plus focused areas for improvement combined for not only Refractories, but other parts of the company, to the improved performance levels. But I'm also going to ask Han Schut, who's with us on the call, to just share a little bit about some of the specific initiatives that Han and his team are focused on. Han? 
Han Schut: Yes, thank you, Joe. Yes, Silke, thank you for the question. I think when you look at the transformation of Minteq and specifically to the first quarter of 2012, what we have seen is specifically higher productivity in our Bryan facility in Ohio. So last year, we consolidated the Old Bridge facility into the Bryan facility and that has started to pay off. And in general, also there was a lot of concentration on stabilizing the supply chain. And that has led to increased magnesium oxide yields and lower waste on the MgO sites, less expediting. So in general, you could say that on the supply chain side, that there is much more stability, and that's starting to pay off also in our operations. So whether it comes to MgO yields, when it comes to changeovers and just in general, the productivity in our operations. 
Silke Kueck: That's helpful. So it's like a general level of like expense reduction rather than just employee reduction? 
Joseph Muscari: Yes, correct. Yes, definitely. 
Silke Kueck: And if I can ask like one question on raw materials. So in general -- and I understand, I guess, there are different -- this is in Refractories again, there are probably different grades of refractories that you produce. But if you make a ton of refractory materials, how much magnesia goes into a ton of refractory materials? And, similarly, I guess I'm interested to know like how much energy is needed to -- when you make minerals to make a ton of, I don't know, ground calcium carbonate or talc, if you can give us any metrics, that will be helpful. 
Han Schut: Yes, Silke. I think first of all, we have to distinguish between 2 main product lines, which is alumina-based and magnesium oxide-based. And when you look at a magnesium oxide-base, typically, the content is between 70% and 90%. 
Joseph Muscari: I think, Silke, and to your question of energy per ton, it varies quite a bit depending on the product line of the company. Probably, the highest energy usage embedded in our product comes in our PCC business through lime and the purchase of lime. Our -- and that carries over to, for instance, a facility like we have in Adams, which is a GCC and a Specialty PCC business where in a year, we use Number 6 fuel oil in the year we'll spend on how much -- so it's, say, 5 million gallons times, say, $3 a gallon today, a little bit less than that. 
Douglas Dietrich: So it varies quite a bit, Silke, depending on where in the company the facility is, but the product line as well. 
Silke Kueck: Do you buy any natural gas at all, or is your exposure to natural gas, is it more of a -- is it more geared towards fuel oil? 
Joseph Muscari: We do buy natural gas. We also have some projects that are focused on converting. In one case, Number 6 fuel oil to natural gas. 
Douglas Dietrich: Yes, Silke, most of the energies in refractories is electricity, also some propane used in the wire business. 
Operator: Your next question comes from Rosemarie Morbelli with Gabelli & Company. 
Rosemarie Morbelli: You did mention, Joe, that some of the Refractory business in Q1 was really taken for Q2 because of 2 steel furnaces being re-lined next quarter. Did anything of the sort happened in your other product lines? And if you look at Europe, do you think that you've got a little bit of Q2 business into Q1, or was Europe kind of slowing down throughout the quarter? 
Douglas Dietrich: No. Rosemarie, I think we didn't see anything else. I think from -- sequentially, from the fourth quarter, one of the major items was the equipment sales in the refractory, which are typically higher in the fourth quarter. And as all of those units that we've built in the year are generally sold in contracts consummated in the fourth quarter. So we do see a drop off there. We had a couple of re-lines, as I mentioned, in the Refractories business that moved off into the second quarter. So that helped the demand. I think the remainder of it, especially in Europe, we did see some shutdowns in the quarter. So that wouldn't be pushing volume off. Those were actually steel mill furnace shutdowns from the fourth and the first quarter. And we're going to see a couple of those re-lines again be pushed from this quarter into the second quarter in the Refractories. The other product lines, I don't see anything that was pulled in significantly into this quarter. 
Rosemarie Morbelli: Okay. And then if you look at your -- changing gears here, if you look at your new contracts in Asia, the size of existing contracts, did you get any revenues from them in the first quarter? Is it too early? If you could talk about the potential revenue for 2012 for the year, as a whole, and 2013? And I was wondering if it is -- if those contracts are only for 1 paper machine, in 1 paper mill and given 1 paper company, what would be the potential for that as you move from 1 machine to another and then from 1 mill to another. Can you help us understand how it is going to progress? 
Joseph Muscari: Rosemarie, is your question around the Fulfill E-325 or new satellites? 
Rosemarie Morbelli: The Fulfill E-325. 
Joseph Muscari: On the Fulfill E-325, just to give you a little bit of dimensioning because I did indicate on the last call it was a little premature, we needed to have a little more cook time. But I can give you some perspective. Of the 6 contracts that we have right now for commercialization that I mentioned, we -- those 6 contracts, could -- I should say have the potential to deliver this year around $750,000 to $1 million of operating income, okay? We have more coming. Each one of these will be a little different because of the size of the sites that we're implementing this in, and as well as the degree of penetration of the new product in each one of those sites. In some cases, the ramp-up is very quick. In other cases, it's going to take longer. So in terms of visibility that we can give you right now, it would be roughly around the numbers that I shared with you. And as we get further in, in the next quarter, we'll -- we foresee more contracts coming on. They're being negotiated right now, and we'll have an opportunity to share even more with you. 
Rosemarie Morbelli: Well, Joe, just so -- I want a little more detail if you didn't mind, when you say that it depends on the degree of penetration, are you talking about how many machines at the mills, at 1 particular mill or are you talking about more mills within 1 big company? 
Joseph Muscari: It's both. It's the number of machines that would be in a paper mill, at a paper mill site, as well as the different grades that are made at those sites. So -- and we typically will qualify with -- on one machine 1 or 2 grades, get acceptance and then move beyond that. Other cases, we go through a longer qualification period for all the grades. So it really varies. I'm going to ask D.J. to kind of give a little more granularity about -- around how that process works and how different it is from site to site. D.J.? 
D. J. Monagle: Sure, Joe. So, Rosemarie, what we had indicated during our -- some of our other conversations, and what Joe says is exactly right. It's a combination of getting across the different paper machines, but also within a paper machine, it's getting across the grades. So this step that we call technology validation is, in fact, our longest step in getting this to be commercialized. And it takes into account everything from each grade that our paper machine makes. We've also been engaged in -- well, just in-situ product development for the paper makers as they look at different raw materials and different cyber species that they can do and sometimes, the paper makers ask us to do specific customer qualification. So it's a combination of those items. And what -- in terms of just looking forward, I think Joe's projections are spot on with what we've announced so far. And it's -- we've not -- this will the first time where we are coming out of the gates saying, "We've got several more coming in the next quarter." But we have several more coming in the next quarter and our chart showed 3 European mills that are right on the verge, and we'll hope to be able to embellish more when those cross that finish line. 
Rosemarie Morbelli: And if I may ask one quick question. Your R&D expenses were $5 million this quarter. Is that a new quarterly level? Is it linked to additional trials? What is behind the high number? 
Douglas Dietrich: No, there's nothing specific there, Rosemary. I think it's pretty much on par. We do have some additional trial expenses going into Fulfill, but there's nothing behind that typical number. 
Operator: Your next question comes from Steve Schwartz with First Analysis. 
Steven Schwartz: Just wondering if you could help disaggregate this weather benefit that you mentioned in the press release? 
Douglas Dietrich: Sure Steve. So I think as we all -- well, most of us experienced a pretty mild winter in the northeast. And I think it was more mild than expected. And so a lot of what we forecast going into January, February and March is a lot of extra energies, snow removal that requires ore that can get wet and pumping out water, et cetera. So in the mining operations, we saw a little less than about $400,000 of the growth sequentially was just due to that weather benefit. Again, I don't know what next year's going to hold, so I don't know if that's sustainable. But I think more of the profit improvement you've seen year-over-year is really due to the mix, the pricing, the productivity that the Performance Minerals business has been able to affect and also the reduction in overhead costs. 
Steven Schwartz: Okay. And Doug, what roughly was the operating margin in the Processed Minerals business? 
Douglas Dietrich: Well, give me one second, Steve. Well, the gentleman next to me is telling me we typically don't disclose that number, but I can give you an idea. In Specialty... 
Steven Schwartz: Come on now, Rick. Give the [indiscernible] room on the leash, please. 
Douglas Dietrich: It's lower than the 16.3% that we showed. But PCC, Specialty PCC is a more profitable segment of that product line so. 
Steven Schwartz: Sure, sure. And then just to touch on a few things that Silke brought up, I guess just to clarify on the natural gas situation in North America, so do you guys see any great opportunity there now that we have lower cost nat gas? 
Douglas Dietrich: We do see some good opportunities. We've been looking out and seeing how the forward prices have been dropping, and so we take advantage of some of the lower cost natural gas. We have -- we do use quite a bit, as Joe mentioned, in our line production process, we use fuel oil. And fuel oil has generally increased significantly actually over the past couple of years, which is a drag on the margins that I've shown you. We do investigate opportunities to move more of our productions to natural gas, and those are things we're going to continue with throughout this year. 
Steven Schwartz: Okay. And then just lastly, again, on the raw material front with magnesium oxide, it looks like you were able to work through your high-cost inventory in the first quarter, maybe a little faster than we thought coming out of the fourth quarter. Would you say -- I guess, part a to the question is, would you say your pricing now has caught up with your costs? And then in your commentary, part b, you mentioned that it looks like MgO costs could be going up. What does that then look like, the pricing versus cost profile as we go into the second half of this year? 
Douglas Dietrich: Well, again, prices are changing. We're continuously selling our value proposition. You are right -- part a, you are right. We did move into some of the lower-cost inventories faster, especially in North America, with a higher consumption rate. So I think you'll see a little bit of that benefit continuing in the second quarter. My comments on the higher MgO prices is it's a timing effect. We are seeing higher MgO prices, and I think that will manifest -- it will manifest itself in the second quarter, but primarily in Asia. Our supply chains in Asia are shorter, so we consume -- we buy and consume much more rapidly there. But if they continue to increase we will see some of that effect the margins that I showed out into the third and fourth quarter where supply chains are longer like in North America 
Steven Schwartz: Looking back, say, 1 year or 2 years ago, when we first had this trouble with getting with MgO, and essentially came down to higher costs for you. Has your supply chain changed at all? Have you been able to do anything differently there over the past couple of years? 
Douglas Dietrich: We have. So I think in the past, significant, I'd say almost 75% of our magnesium oxide was purchased from China. We've had a real concentrated effort, Han and his team over the past couple of years to diversify that base to a number of different suppliers around the world. And we've been able to do that. So we reduced our dependence on specifically Chinese MgO significantly. We also have increased our production out of our own facility in Turkey, and so we're self-sufficient to some extent in part of the business. So it's really been a conscious effort to diversify our supply base. 
Steven Schwartz: How much has the supply out of Asmus [ph] in Turkey changed over the past couple of years? 
Douglas Dietrich: We've had some productivity improvements. It's similar, it covers about 25% of our total magnesium oxide needs, and the majority of that is into Europe. I'd say we probably had about a 5% increase in productivity over the past couple of years. 
Operator: At this time, there are no further questions. Mr. Honey, I hand the call back over to you for closing remarks. 
Rick Honey: Thank you very much for your interest in Minerals Technologies and have a good day. 
Joseph Muscari: Thank you. 
Operator: Thank you. This concludes today's earnings call. You may now disconnect.